Operator: Hello, everyone and welcome to the NetEase third quarter 2006 conference call. Just as a reminder, this call is being recorded. I would now like to turn the call over to your host, Ms. Brandi Piacente, Investor Relations for NetEase.com. Please go ahead.
Brandi Piacente: Thank you, operator. Today you will first hear from Mr. William Ding, Chief Executive Officer; and Mr. Michael Tong, Co-Chief Operating Officer; who will discuss some of the financial and operational highlights for the third quarter end September 30, 2006. Finally, Mr. Denny Lee, Chief Financial Officer, will review the financials. Before we continue, please note that the discussion today will contain forward-looking statements relating to future performance of the Company and are intended to qualify for the Safe Harbor from liability as established by the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance, and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and this discussion. Risks related to the fluctuation in the value of the renminbi with respect to other currencies could also adversely affect the company's business and financial results. The Company does not undertake any obligation to update this forward-looking information, except as required by law. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the NetEase corporate website at corp.netease.com. I will now turn the conference call over to Mr. Michael Tong, CO-Chief Operating Officer, who will read the prepared remarks on behalf of Mr. William Ding, Chief Executive Officer of NetEase.
Michael Tong for William Ding: Thank you for joining us today. I will begin with an overview of each of our services segments. Total revenues for the third quarter decreased 0.6% quarter over quarter, but increased 23.6% year over year to $72.4 million. Online game revenues for the third quarter decreased 3.7% quarter over quarter, but increased 25.6% year over year to $59.2 million for the third quarter of 2006. Our online game revenues were impacted by worse than expected seasonality in the last month of the quarter, in addition to erroneous in-game protests that affected Fantasy Westward Journey user numbers during the quarter. Certain users mistakenly identified an image in the game to be a Japanese flag and subsequently spread erroneous information and perceptions among players. Such erroneous messages had extended to a level that some players actually believe our games have been sold to Japanese investors. Once again, we also would like to take this opportunity to declare that our games are all self-developed by Chinese, in China, and they is no relationship with our game to Japan. Regardless of the impact on third quarter user numbers, Fantasy Westward Journey remains the most popular game in China and continues to dominate the MMORPG markets, based on peak concurrent user numbers, or PCUs. Fantasy Westward Journey achieved peak concurrent users of approximately 1.22 million, down from 1.3 million for the second quarter; and average concurrent users of 468,000. We are looking to improve our Fantasy Westward Journey numbers and return to more normalized growth patterns, with the game’s latest expansion pack which will be released in the end of 2006. Westward Journey Online 2 achieved peak and average concurrent users of approximately 592,000 and 173,000 respectively for the third quarter, compared to 561,000 and 197,000 respectively for the second quarter of ’06. Our latest release game, Datang, contributed modestly in its first quarter since commercialization on July 19. We will continue to build new content and playing features, and increase our marketing contribution for this game to drive user numbers. For an update on our next-generation online 3D game, Tianxia 2, development is progressing according to plan and we expect to commence open beta testing by the end of this year. So far, we have tested Tianxia with approximately 6,000 accounts and the response has been very solid. We have been working on a number of minor improvements, but there have been no major technical or functionality issues. Our development progress has been steady and efficient, and we are confident about the results of the upcoming open beta launch. Turning to our new games, Westward Journey III, which we previously called Westward Journey 2.5 as the project code name, the development progress is on plan and the internal beta testing will be launched during the second quarter of ’07. This is a completely new game with a completely new engine, graphics and characters. We will migrate current Westward Journey II users with an exchanged rate of user status numbers and data to this new game. Longer term, we have four additional major games under development, including the original Westward Journey III project; a new type of MMPORG and two advanced casual games. It is too early to provide details of these games, but it is important to note that between life cycle expansions and expansion packs, as well as new game development, our online game pipeline is full. We are fully capitalizing on our R&D and creative resources to keep momentum with the pace of the online game markets, which remains very strong in China. Turning to our advertising services segments, revenues from advertising services increased 21.2% quarter over quarter and 13.6% year over year to $10.5 million for the third quarter of 2006. The revenue growth in this segment reflects the improved content and optimization of new products and services throughout the portal. During the third quarter, we released our new blog services which has driven significant traffic already. We have confidence to say that our blog services are one of the most advanced in the market with growth from stability, functionality and registered number of users has reached over 13 million and it is increasing at more than 100,000 new users daily. We will continue to improve the functionality of our blog, and also consolidate our other current community services, such as Alumni and Bulletin Board into the products. In addition, a new redesigned home page was also launched on the 12th of October, which renders a better user experience and improved ROI to our advertisers. It has been widely covered by the media as a new way to surf the Internet. Through several new strategic agreements and cooperative branding partnerships established during the third quarter, we are continuing to improve and expand our online user experience and drive traffic volume within our online communities. One example is that we signed a cooperative agreement with 101Jobs.com, a leading Hong Kong recruitment group, to provide job information and career tools to our users. Our co-branded jobs channel was officially launched on October 1. Improvements in content and products has also driven advertisers targeting high end users. Our advertisers now include premier automotive and computer manufacturers. Brand names such as DaimlerChrysler, BMW, HP, Intel and IBM that target a high end and affluent audience have increased their spending on our portals, based on our user demographics and the high quality of our interactive advertising platform. Average daily page views for the month of September were 535 million. Our third quarter daily page views continue to rank NetEase.com as one of the most popular destinations in China and on the web. NetEase has also won the most number of awards among major portals in the annual China Advertising Awards Festival, which was recently organized by the China Advertising Association. This is a very valued testament to the creativity and quality of services we offer within our online communities. Now for a more detailed discussion of our financial performance for the third quarter, I will turn the call over to Denny.
 Denny Lee: Thanks, Michael. I will now provide an overview of our financial highlights for the third quarter, using numbers and percentages based on U.S. dollars. In order not to repeat what has just been explained by Michael on the revenue side, I will focus on explaining margin and expense fluctuations. In order to provide a more meaningful comparison of NetEase’s current operating results to those periods prior to the Company’s adoption of FAS 123 R, which took effect this year, our discussion includes non-GAAP results for the third quarter. A reconciliation of NetEase’s non-GAAP financial measures are provided in the unaudited financial information included in today’s earnings release. The company’s gross profit was $56.7 million in this quarter. Non-GAAP gross profits, which has excluded the effect of certain non-cash share-based compensation expenses was $57.2 million in this quarter, representing a 2% quarter-over-quarter decrease and a 21.9% year-over-year increase. The decline in the company’s gross profit as compared with the preceding quarter was mainly due to the decrease in online game business revenue in this quarter. Gross margin for the company was 81.7% for the third quarter. Non-GAAP gross margins for the company was 82.5% compared with 83.5% for the preceding quarter, and 83.6% for the same quarter last year. The small decline in the gross margin in this quarter, as compared with the preceding quarter, was mainly due to the decline in the gross margin of our online game business as a result of the open beta testing Datang at the beginning of this quarter. Gross margin for advertising business was 56.1% this quarter. Non-GAAP gross margin was 58.9%, compared to 53.3% for the preceding quarter and 68.1% for the third quarter of 2005. The increase in the gross margin was primarily due to stable costs relative to the revenue growth. Gross margin for the wireless value-added services and other business for the third quarter of 2006 was 3.4%. Non-GAAP gross margin for the wireless segment was 7.6% compared to 1.9% for the preceding quarter; and 11.3% for the same quarter a year ago. The slight improved gross margin was mainly due to the increase in the higher margin SMS revenue in proportion to lower margin 2.5G and other services revenue. Operating expenses for the third quarter of 2006 totaled $16.6 million or 23% of total revenue. Total non-GAAP operating expenses for the third quarter of 2006 were $13.9 million, compared with $14.1 million for the preceding quarter and $11.7 million for the same quarter last year. The decrease in non-GAAP operating expenses in comparison to the preceding quarter was primarily due to a one-time write-off of $1.4 million in software costs for our licensed online 3D game, Fly for Fun, in the second quarter, partially offset by higher provisions for doubtful debt expenses and increased research and development expenses associated with the increased staffing for enhancement of our existing product and the development of new product in the third quarter. Net profit for the third quarter totaled $39.8 million. Non-GAAP net profit for the third quarter totaled $43.1 million, representing a 0.1% quarter-over-quarter increase and a 31.8% year over year increase. The increase in net profit in this quarter was mainly contributed by costs and effective tax rate reduction. We will continue to impose tight cost control without harming or limiting our business growth. We expect our effective tax rate to remain relatively stable, however we also caution that is subject to a continuation of certain preferential tax treatment currently enjoyed by the companies within our group. Basic and diluted earnings per ADS was $0.31 and $0.29 respectively for the third quarter, which includes the impact of approximately $3.3 million or $0.02 per ADS in non-cash, share-based compensation costs. This compared to $0.30 per ADS and $0.28 per diluted ADS for the second quarter of 2006, and $0.25 per basic ADS and $0.22 per diluted ADS for the third quarter of 2005. As of September 30, 2006 our total cash and term deposit balances was $478.7 million, up from $451.8 million at the end of June. Cash flow generated from operating activities was $43.6 million, an increase of 16% from the previous quarter and an 18.9% decrease from the third quarter of 2005. In August, our board of directors approved a share repurchase program of up to $100 million of our outstanding ADS. As of the end of September, 2006 we had affected transactions in the open market, purchasing approximately 1 million ADS for an aggregate purchase amount of approximately $17.1 million, including transaction costs, representing 17.1% of the total authorized share repurchase amount. Now, I would like to comment on our financial guidance for the fourth quarter ending December 31, 2006. Please note that the following outlook statements are based on current expectations. These statements are forward-looking, and actual results may differ materially. We expect total gross revenues to be between $65.4 million and $67.6 million for the fourth quarter, with online game services revenues decreasing 6% to 9% quarter over quarter. Advertising services revenue decreasing 9% to 13% quarter over quarter, and wireless value-added services and other revenue to be flat to a decrease of 10% quarter over quarter. Net profit for the fourth quarter is expected to be between $32.3 million and $34.3 million. These estimates include the effect of share-based compensation expenses of approximately $3.2 million. Please note that such share-based compensation expenses are only our best estimate as of today, and the actual expenses may differ from the estimates. Also, we caution that we cannot predict the future exchange rate of RMB versus other currencies, and therefore cannot accurately estimate the effect of any changes in exchange rates on our financial results. Accordingly, our guidance assumes no change in exchange rate in the fourth quarter, and has adopted the same exchange as of September 30, 2006 of $1 to RMB 7.904. Our actual result could differ, however, from our guidance as a result of fluctuations in RMB exchange rates. Also, lastly, in order to allow investors to focus more on the long-term value and strategy of our company, we will not be giving out quarterly guidance starting from 2007 first quarter. We will now be happy to take your questions. Operator, please go ahead.
 Lu Sun - Lehman Brothers: Good morning, everyone. I actually have two questions. I will speak Chinese first and then translate into English. (Question asked in Mandarin) My first question is regarding the fourth quarter online games guidance. I think there is a pretty big drop. Can management please comment on the competitive landscape, and also some future outlook for the game industry? Thank you.
Michael Tong: Thank you, Lu Sun. The main reason for the guidance of minus 6% to 9% is mainly because of Fantasy Westward Journey and we are looking at a similar rate of drop for Fantasy Westward Journey, similar to the rates of the decrease in the guidance. The main reason is because we have experienced quite a severe drop of the number of users around September, which is the last month of this quarter. Such a drop, even though we are looking at back on track to a normalized growth, it seems that it is difficult to be able to achieve to a similar level like it was in July. So even compared to December to July, it is difficult for December to catch up with July’s figures. It seems that we are going to experience quite a drop on a quarterly basis in this way. In terms of the competition in the markets, why don’t I just take the chance to go through why there is such a big drop in September. Obviously, because as we explained, the Japanese flag and all of these things. In addition, I would say that obviously there are some games in the market, games like [Sudoku] which is the game offered by GameSoft and also some other games are doing quite well in the markets. I wouldn’t say that they are totally targeting directly at Fantasy Westward Journey, but I think there are more free games in the market, and in some way I would say that gamers definitely would like to try the free games a little bit and this has, in some way, affected Fantasy Westward Journey as well. Lu?
Operator: Your next question comes from Wallace Cheung - Credit Suisse.
Michael Tong: Operator? Can you let the person who asks to finish or comment on my answer first, or at least we listen to “thank you”? Can you go back to Lu?
Operator: Lu, can you press *1?
 Lu Sun - Lehman Brothers: Thank you for the answer. Do you anticipate a very similar kind of challenge when you launch your Tianxia 2, a more promising 3D game in the market? Because there are actually quite a few 3D titles to be launched by your competitors as well.
William Ding: (Response in Mandarin)
Michael Tong: I will translate into English very quickly. First of all, Tianxia we continue to have very high confidence on the product and we have a very good quality game that we are going to release. Secondly, and most important, is that a similar level of quality products that are in the market right now, all of them are fee-based and charge on an hourly basis or monthly paid. So we don’t believe that what we are facing in Fantasy Westward Journey with the free games would happen to Tianxia.
 Lu Sun - Lehman Brothers: Thank you. I just have a quick follow-up on the online advertising side. (Question asked in Mandarin) My second question is on the online advertising side. There seems to be a pretty major deceleration in the year-on-year growth rates, especially relative to your competitors. What are the reasons behind that? Thank you.
Michael Tong: The simple answer is that we have actually terminated a couple of contracts that are related to, kind of like a branding corporation type of contracts during the quarter. Those branding contracts are like a distribution-type of web spaces. Because those are cooperative branding and our partners have violated their use of our logos and the use of our brands and have made some false marketing to some of the buyers on those websites. We have just terminated those contracts. This has contributed to the majority of the decrease in the growth.
 Lu Sun - Lehman Brothers: Thank you.
Operator: Your next question comes from Wallace Cheung - Credit Suisse.
 Wallace Cheung - Credit Suisse: Good morning. One question. I will speak in Chinese first. (Question asked in Mandarin) My question is, has the online games [inaudible] and has the management already talked about these issues and maybe express growth prospects on Fantasy in the future? Thank you.
Michael Tong: Wallace, why don’t I take this question. We won’t be able to say the worst has passed for the Japanese flag furor, or the offense, how it is affecting Fantasy Westward Journey. In fact, today if you see our homepage, we continue to make a declaration that our game has nothing to do or no relationship with Japan or Seoul. Again, from the numbers that we have seen, we believe we will be able to go back to a normalized growth later on. It is just difficult to be certain on these things, frankly.
 Denny Lee: I can give you some of the numbers and then you can visualize what you think is the real situation. For Fantasy Westward Journey, it accounted for around 17% of total online game revenue right now. For the month of September, because of various reasons as explained by Michael, the Japanese flag and also the competition, everything; and also the back-to-school season in September. That game dropped by around 24% when compared to the month of August. So it was a big, big drop which is beyond our expectation at that time. For the month of September, as you know, that is a national holiday period and the normal peak season, the game already resumed growth comparing with September. However, based on the September results, we projected that November and December performance of the game couldn’t catch up the loss in September. Also, the growth in October is not big enough. So therefore, we are projecting an overall decline of 6% to 9% of our total online game revenue in the fourth quarter. But we are still optimistic on the Fantasy Westward Journey with the new game and we expect to have our expansion packs to be launched by the end of the year.
 Wallace Cheung - Credit Suisse: (Question asked in Mandarin)
 Denny Lee: It was a double-digit growth.
 Wallace Cheung - Credit Suisse: Double digit, thanks very much.
Operator: Your next question comes from Richard Ji - Morgan Stanley.
 Richard Ji - Morgan Stanley: William, Michael and Denny, I have two questions. One is regarding Datang. Obviously, it is at a low base right now. What is the upside for the game going forward? Especially that you may consider free to play game. The second question is regarding Westward Journey III and this is literally the first time ever we have seen any online game company, Chinese online game company, migrate the entire user base to a new game. Can you comment on that? What kind of risks are involved, and what are the upsides?
 William Ding: (Response given in Mandarin)
 Richard Ji - Morgan Stanley: (Question asked in Mandarin)
 William Ding: (Response given in Mandarin)
Michael Tong: Okay, okay. Let me try to summarize all of this in English very quickly. For Datang, right now there has been a lot of similar titles, for example, like martial arts title that is free on the market right now. We believe this is the main reason why Datang has not been doing so well, because as a gamer, when they look at various offers on the market, obviously they will continue to try the free games first. Only those who are more advanced players may choose Datang. For us, right now we will continue to improve the contents of Datang, and we will continue to assume that we are using a fee-based model for Datang. We will not change the game to free, at least for the short- to mid-term. At the same time, the company is researching similar titles, which are like martial arts title, that are existing to become free and based on virtual item sales. We have a team already doing that. At the same time, if there would be a new -- if we are going to make a free game, then we will base on the Datang technology and make a new game out of that and it will be a free game. Right now, we are just planning on that. We will just, for the purpose of this -- I would say that we just assume that Datang will continue to be a fee-based game and we will continue to improve the contents and continue to drive the growth of this game. Thank you.
Operator: (Operator Instructions) We will move to Dick Wei with JP Morgan.
Dick Wei - JP Morgan: Good morning, William, Michael, and Denny. My question is on the online game market going forward, if William can comment on the players growth, business model, and profitability of the industry, that would be great. Thank you.
William Ding: (Response given in Mandarin)
Michael Tong: Dick, this is Michael. I will do a quick translation. In terms of the markets, we believe that [Maru] continues to grow very fast, mainly because the users in terms of the demographics will continue to expand. In terms of the age, we will see more and more older and older users, and in terms of the sex, they are currently a majority of male users, and we continue to see more and more female users as well. The main stream will continue to be RPG and what we call casual games, but at the same time, competition will continue to increase as well. On the business model, it used to be we mostly based on the fee-based games. We continue to see that there are more and more free games being offered in the markets. We believe that there is a segment of the users in the market which we would call demand-based game, or what other people call virtual-item based games. They would be a segment of market users that would like to use this, prefer this kind of game. We believe that this will slowly become the main stream in the market, but it does not mean that there will not be anymore fee-based games. They will also be continued to see a lot of fee-based games, like the one that we have. Those games we believe are higher quality and will continue to be a major part of the market as well.
Dick Wei - JP Morgan: Great. Thank you. Just a quick question for Denny. The growth in the quarter, could you make some comment on that? Thank you.
Michael Tong: What growth, sorry?
Dick Wei - JP Morgan: The property plant and equipment, in terms of the asset side.
Denny Lee: The growth in the fixed asset basically this quarter is mainly due to the Guangzhou NetEase building, because as it is already disclosed in the press release, we are negotiating with the developer to buy Guangzhou office building in the coming quarters. We have already moved into the building and incurred the renovations and also other furniture and fixtures, et cetera. So the increase in this quarter was mainly due to the new Guangzhou NetEase building. We have around 20,000 square meters. You guys are welcome to come and have a look. We are already using this currently.
Dick Wei - JP Morgan: Thank you.
Michael Tong: Thank you. Shall we move on?
Operator: Next we will move to [inaudible].
Unknown Analyst: Could you talk about the development on search? Do you see any growth in the third quarter?
Denny Lee: The current search revenue that we are recognizing is the majority a partnership with Google right now. For us, the search revenue has been decreasing quarter on quarter. This is mainly because we have not been focusing on this part of our business right now.
Unknown Analyst: Right, but do you plan to launch a search engine sometime soon?
William Ding: (Response given in Mandarin)
Michael Tong: Yes, but -- the search products, we are actually working on a search product right now, which is self-developed. We are looking at the launch of it in six to eight weeks time, and I will report on it early next year. I think it is too early to give out further details on this because it is a new product. We do not have much information right now.
Operator: Next we have Tony Gikas with Piper Jaffray.
Tony Gikas - Piper Jaffray: Good morning. A couple of quick questions for you. I think I missed part of one of the earlier questions on what is the migration risk in moving all of the WWJ2 users over to WWJ3. Does that present a risk? Could we see a decline in the user base there of 5% or 10% or 15%? The second part of that question, is there a pricing opportunity when you are moving on to the new version of the game to take pricing higher? What are your intentions there? Then I have a follow-up.
Denny Lee: I can just repeat what William has said. I think the migration of the users from the old Westward Journey 2 to Westward Journey 3, they are always in a risk for users migration. However, as you know, the Westward Journey 2, this is already a very, very old game, operated for more than four years already. Users are leaving us anyway, and we report a continuous decline in revenue in the past few quarters. Therefore, I think the version 3, although there is a risk for the migration of the users from the old game to the new game, however, we will have our mappers to migrate and make sure that they are happy. The most important thing is we are confident in the new title, the Westward Journey 3, and we think that the users will like the new game. There will be a period of transition for the [inaudible] run of the old game, and also for the new game. The users who want to stay with the old game, they can continue to stay, but we will revisit the situation closer to the event to see how many people are actually left with the old game and then decide on how many services will continue to be operating for the old game.
Tony Gikas - Piper Jaffray: And then pricing on the new game?
Denny Lee: We have not yet decided.
Tony Gikas - Piper Jaffray: It is sounding like there is a greater likelihood of moving to the free-based video games at some point in time. Would that impact sales on a near-term basis? If so, what type of impact would that be? Would it take a one or two quarter sales decline, or not so much?
Denny Lee: For the free-based model, I cannot say that this is the norm going forward. I think the market continues to be very extreme. For those successful games, I think users are more than happy to play for an entrance fee, or playing on a time basis. Whereas for some lower quality games, which is huge in numbers, in terms of number, I think it is very difficult for them to charge a fee based on the playing time. For NetEase, we have our own R&D capability, and we believe, for example, Tianxia is a game that we never thought of as free-based. Going forward, we will be flexible. You can see whether for those that can offer [inaudible], that we developed to sift through the gaps of our pipeline, we will be using the free-to-play model or not.
Tony Gikas - Piper Jaffray: Thank you for taking my question.
Operator: Next we have Antonio Tambunan with Bear Stearns.
Antonio Tambunan - Bear Stearns: I just have some follow-up questions. On licensing, I have a two-part question on licensing. The first is where -- this was asked last quarter -- where are you guys now in considering licensing games in the pipeline? The second question I have is I know you guys have always been adverse to licensing games outside of China. I am kind of curious as to whether or not you are going to change that outlook, especially in light of the fact that perhaps Shanda, they just recently announced they are going to take one of the Chinese games in the next quarter. Where are you guys in terms of deciding whether or not you can expand your game to overseas markets, or maybe to less emerging markets like Vietnam or Thailand or something like that? That is all I am curious about right now.
Michael Tong: On the second question, no, we have not changed. On the first question, which is basically a no as well, actually. We have a pretty full pipeline ourselves, we believe, and we do not feel that we would like to license games from other game developers right now. Of course, this is still opportunistic. If there is a specifically high quality game in the market, we of course welcome -- we have been talking to some of the companies, but this is very, very remote again.
Antonio Tambunan - Bear Stearns: The second question that I asked, and your answer is no, and I know you have been no for a long time now. I am just kind of curious as to why, or have you not considered that to be some --
Michael Tong: Because we are focused on China.
Antonio Tambunan - Bear Stearns: I know, but -- so you have no wishes at all, and it is unlikely to change going forward at all?
Michael Tong: No. That is right.
Antonio Tambunan - Bear Stearns: Thank you.
Operator: Next we will take Jason Brueschke with Citigroup.
Jason Brueschke - Citigroup: Thank you. My question really revolves around your use of cash. You are sitting on nearly $480 million. You will no doubt be above $500 million at the end of the year. When I look at the business and how various things are performing and some of the issues you are facing, like the Japanese flag, I kind of struggle with the decision just to put that cash to use to buy back shares. I am wondering why you have not been able to deploy that cash in a way that in one quarter, fixes the Japanese flag incident. You have enough money to market directly to every single gamer in China. I guess the question is, do you have any plans to do anything different with your cash going forward, in terms of maybe stepping up your sales and marketing, maybe buying some domestic Chinese casual game companies, or something like that? Or are we just going to continue to see share buy-backs as the primary vehicle that you put the cash key in?
Michael Tong: The question is kind of theoretical, but I think the answer is that we continue to believe that the way that we have been using our cash is the optimal way for the company. We have been very lean. We have a very thin R&D and marketing expenses, and we continue to believe this is a very good way to utilize our cash for the good of the company. Repurchase will continue to be a way for us to utilize the cash.
Jason Brueschke - Citigroup: Michael, a follow-up to that. Two questions on Tianxia. One, could you maybe give us some particular differences between Datang and Tianxia, besides the fact that one of them is a 2.5V game and one is a 3D game? Because leading up to the launch of Datang, there was a period of time when you guys were very bullish about the game and its prospects and all the time and effort you put into it. It seems to have struggled, and Tianxia, we still have that same optimism from you. I think giving us some color about where these things differ I think will be helpful.
Michael Tong: The product is totally different and it is very difficult to make a comparison between the two products. Just to give you a bit more color, the technology, the game play and the stability and all these things are totally different. In fact, the design group -- I will just make the very simple difference among this is the design group, the programming group for Tianxia has been the core group of our company, who have been working with us for a long time. Comparatively, the Datang team is a bit more junior. That is the major difference I would note.
Jason Brueschke - Citigroup: Okay. Let me ask you one last question. Do you have any plans to significantly market Tianxia more than you have Datang, in open beta and in commercial?
Michael Tong: I would say yes, because in terms of the [user] size is much bigger, but compared to that of our competitors, it is still -- it still would not be much bigger than that of our competitors. Again, that is because we are a portal and we have a lot of influence on our users. Also, the way that we have been marketing, a lot of them are word of mouth, and those are lower costs, comparatively. Also, I would say it is performance-based. Compared to our competitor, the answer is no, it is not a huge marketing program. But compared to Datang, yes, the venture is much bigger.
Operator: Next we will move to James Mitchell with Goldman Sachs.
James Mitchell - Goldman Sachs: I apologize if this seems like another way of asking Jason’s question, but if I look at your guidance of the fourth quarter, it seems like you are guiding for revenue to be up down RMB 50 million to RMB 60 million, and then net income to be down by a similar RMB 50 million to RMB 60 million, or $6 million. Given you had some variable expenses and taxes, does that imply that you see some of your fixed costs increasing quarter on quarter?
Denny Lee: I think in computing the guidance for Q4, revenue we have already been transparent on how we see each particular line of business they are doing. For the expense side, basically we are calculating, for example, the G&A expenses to be around flat. Also, the increase in operating expenses is mainly coming from the selling and marketing expenses and also R&D. Within the two, I think the selling and marketing expenses is the area that we have projected will be the huge increase, because of the new product launches, not just for the Tianxia but also other portal products. For R&D, as you know, we have just increased our headcount by around 250 persons this summer, so that will also be fully affecting the fourth quarter results, resulting in an increased in the R&D expenses.
James Mitchell - Goldman Sachs: Great, and then just a housekeeping item. For the third quarter, if I got the numbers right, it looked your game average users were down about 7% sequentially, and your game revenue was down [inaudible] sequentially. Is the deviance between game users and game revenue because of a deferred revenue realization on the prepaid cards or higher effective pricing?
Denny Lee: I think this is mainly due to the pricing, because more and more users, they are playing directly from us, the points from us rather than using a point card, which the margin is higher.
James Mitchell - Goldman Sachs: Okay. Thank you very much for taking my questions.
Operator: We will take our last question from Ming Zhao from Susquehanna Financial Group.
Ming Zhao - Susquehanna Financial Group: Thank you. My question is according to your strategy right now, do you plan in some cases on you will turn the Fantasy Westward Journey Online into a play-to-play model?
William Ding: (Response given in Mandarin)
Michael Tong: We do not have any plan to make it a free game. Okay, I guess we will sum this up.
 Brandi Piacente: Thank you once again for joining us today. Please feel free to contact us if you have further questions.
Operator: That does conclude our conference call. We do thank you for your participation.